Operator: Ladies and gentlemen, thank you for standing by. Welcome to Choice Hotels International Third Quarter 2021 Earnings Call. At this time, all lines are in a listen-only mode. I will now turn the conference over to Allie Summers.
Allie Summers: Before we begin, we'd like to remind you that during this conference call, certain predictive or forward-looking statements will be used to assist you in understanding the company and its results. Actual results may differ materially from those indicated in forward-looking statements, and you should consult the company's Forms 10-Q, 10-K and other SEC filings for information about important factors affecting the company that you should consider. These forward-looking statements speak as of today's date, and we undertake no obligation to publicly update them to reflect subsequent events or circumstances. You can find a reconciliation of our non-GAAP financial measures referred to in our remarks as part of our first quarter 2021 earnings press release which is posted on our website at choicehotels.com under the Investor Relations section. This morning, Pat Pacious, our President and Chief Executive Officer; and Dom Dragisich, our Chief Financial Officer, will speak to our third quarter operating results and financial performance. They will be joined by Scott Oaksmith, Senior Vice President, Real Estate and Finance. Following Pat and Dom's remarks, we'll be glad to take your questions. And with that, I'll turn the call over to Pat.
Pat Pacious: Thanks, Allie, and good morning, everyone. We appreciate you taking the time to join us. I'm pleased to report that Choice Hotels continued to deliver strong RevPAR growth in the third quarter that once again significantly outperformed the industry. We also continue to gain share across all segments in which we compete. As a result of these performance trends, we expect to surpass 2019 RevPAR and adjusted EBITDA levels for full year 2021. By continuing to implement our long-term strategy, we have positioned Choice Hotels to further benefit from post-pandemic trends that favor leisure travel, limited service hotels and longer stays. Additionally, our business traveler demand has returned to levels similar to the third quarter of 2019. The third quarter was exceptional, our strongest quarter of the year. Our RevPAR increased 11.4% compared to the third quarter of 2019, surpassing our prior quarterly RevPAR guidance. In fact, RevPAR has now exceeded 2019 levels for five consecutive months, with trends continuing into the fourth quarter. For over 1.5 years, we've maintained significantly higher RevPAR index share gains against the competition compared to 2019. We continued this trend in the third quarter, increasing RevPAR index versus our local competitors by nearly four percentage points as compared to 2019, reflecting continued growth in both weekday and weekend RevPAR index as reported by STR. Choice's ability to continue to gain share even as the broader industry recovers, demonstrates that our strategic investments are paying off and gives us further confidence in our future revenue trajectory. Because of our strategic investments, both before and during the pandemic, we are in a stronger position today to capitalize on outsized growth opportunities over the long term, which we expect will create value and drive our performance to new levels. What's most impressive is that we continue to drive strong performance through both rate improvement and occupancy share gains. Choice's average daily rate growth has been stronger than the industry in the third quarter due to our new revenue management tool and broader capabilities. In addition, our robust merchandising strategy has allowed us to drive occupancy share gains versus our local competitors. We continue to make major investments that are enhancing our owners' performance and contributing to our brand's outperformance. Earlier this year, we launched our new revenue management capability designed to improve the ability of our franchise owners to effectively drive top line revenue. This tool marks a step change improvement that we were able to put in the hands of our franchisees at a critical juncture in the recovery. As the first mobile-enabled revenue management app, it allows our franchisees to more effectively manage their channels rates and inventory by adapting to local market trends in real time through repricing and competitive rate shopping multiple times during the day, and they can do this from virtually anywhere. This enhanced capability has contributed to choice taking significant RevPAR index share specifically driving average daily rate index gains versus local competitors, and we expect this trend to continue. We are especially encouraged by forward-looking bookings for the Thanksgiving and winter holidays with a projected rate significantly ahead of 2019 levels. The acceptance of rate recommendations by our franchisees has been significantly higher than our prior tool, demonstrating our owners' confidence in the solutions that we are providing. This tool, combined with expert advice from our experienced revenue management consultants is helping our franchise owners to swiftly execute the right pricing strategy, which is particularly important in an inflationary environment. At the same time, we continue to improve the unit economics for our franchisees, concentrating on investments like housekeeping upon request that lower their cost of ownership while driving continued performance improvements. Recently, we deployed a new digital registration capability, which is integrated with our property management system. This cost-effective cloud-based solution is designed to simplify the hotel registration process for front desk staff, save on labor, speed up check-in and improve our guests' overall experience. Moreover, our recent brand investments are designed to appeal to the guest of tomorrow while providing a compelling return on investment for our franchisees. Just a few weeks ago, we introduced a new Cambria hotel prototype option designed for secondary and leisure markets. We're excited about the future growth opportunity for Cambria as we expect this prototype will allow developers the flexibility to build at a reduced cost, expanding the markets available for growth while retaining our design forward experience. I will now provide a brief update on our key segments, where 11 out of our 12 brands achieved RevPAR index gains versus their local competitors in the third quarter as compared to 2019. Our strategic investments in the extended-stay segment allowed us to quadruple the size of the portfolio over the past five years to reach 467 domestic units with a domestic pipeline of nearly 310 hotels. This segment, a significant growth engine for the company, expanded by over 45 hotels in the third quarter year-over-year and now represents over 10% of our total domestic rooms. In addition to strong unit growth, we've also driven impressive RevPAR growth across our extended stay brands. Specifically, when compared to the third quarter of 2019, our extended-stay portfolio grew RevPAR a by over 18%, driven by occupancy levels of 82% and a 9% increase in average daily rate. And outperformed the industry's RevPAR change by over 20 percentage points. The WoodSpring Suites brand celebrated a key milestone with the recent opening of its 300th hotel. The brand's pipeline expanded by over 20% year-over-year as of the end of September, reaching nearly 160 domestic hotels which further exemplifies developer demand for this brand, given its cycle resilience. We expect that WoodSpring's robust pipeline will provide a strong platform for future growth of the brand. Broadly speaking, we are pleased with the significant increase in developers' interest in extended stay projects. In the third quarter, we executed two dozen extended-stay domestic franchise agreements, an 85% increase year-over-year and a 20% increase compared to 2019 levels. In addition, the first hotel for our newest extended-stay brand, Everhome Suites is currently under construction and scheduled to open next summer, with nearly 20 additional projects already in the pipeline. Our mid-scale brands, which represent over 2/3 of our total domestic room portfolio and approximately half of the total domestic pipeline continued to outperform the segment's RevPAR growth. Our mid-scale and upper mid-scale portfolio grew RevPAR by nearly 10%, driven by average daily rate growth of over 9% and outpaced the industry's mid-scale and upper mid-scale segment growth by nearly seven percentage points when compared to third quarter 2019. Our flagship brand, Comfort, recently celebrated the highest number of conversion hotel openings since 2014, while increasing new construction agreements threefold in the third quarter year-over-year. The Comfort brand's domestic unit growth of over 2% and RevPAR index outperformance versus local competitors demonstrate the attractiveness of this iconic brand to hotel developers and guests alike. Our upscale portfolio achieved impressive growth in the third quarter year-over-year as we increased our domestic room count by nearly 22%, driven by both Cambria and the Ascend Hotel Collection. The upscale portfolio also achieved a record for domestic openings in the first three quarters of the year. The Cambria brand continued its positive momentum, growing by over 9% to 58 units year-over-year with 17 projects under active construction at the end of September, and five additional hotels planned to open this year. In August, we celebrated the Cambria opening in the heart of one of the world's premier wine regions, Napa Valley. Our upscale portfolio increased its RevPAR index relative to its local competitive set and outperformed the industry's RevPAR change by 15 percentage points while increasing the average daily rate by 11% when compared to the third quarter of 2019. This progress shows the attractiveness of Choice Hotels value proposition in the upscale segment for current and prospective owners. The strong performance across our entire brand portfolio confirms our focus on growing in our strategic segments which we believe will further fuel the long-term revenue intensity of our system. Turning now to demand trends. We continue to achieve gains in our weekday occupancy index share during the third quarter compared to 2019. As discussed on our prior calls, we believe that these share gains are partially driven by long-term consumer trends, such as remote work and an increase in early retirements, which afford Americans flexibility as to when and where they travel for leisure. In fact, we observed our guests extending their trips into shoulder days of the weekend, giving us further optimism about future travel trends following the historically busy summer travel season. In addition, we continue to observe a greater share of revenue coming from longer stays as compared to 2019. Similar to our broader occupancy share gains, these weekday demand gains were achieved through our merchandising capabilities and strategy with targeted promotions at the right time of the week, during the right time of the year and for the right customer. The investments we've made have allowed us to capitalize on demand that historically propelled our core business while attracting and capturing an even larger share of leisure demand. While our most loyal Choice Privileges members continue to spend more at our hotels during the third quarter, we were also successful in appealing to those who are new to our brands, increasing their revenue contribution as compared to 2019 levels. We also see continuing momentum in our business travel trends, with anticipated additional runway for growth. We've continued to witness sequential quarter-over-quarter increases in our business travel bookings in the third quarter of 2021, with overall business performance similar to 2019 levels. As a company with a strong emphasis on a customer-first approach, Choice is always looking for innovative ways to better serve the changing needs of today's consumers and anticipate the expectations of the guest of tomorrow. For example, we are the first lodging company to launch a collaboration with Bakkt a trusted digital asset marketplace, enabling us to cater to guests with more currency options and more ways to redeem this currency. Our more than 50 million Choice Privileges loyalty members can now unlock new redemption opportunities by converting their rewards points to cash and then use it to buy Bitcoin, transfer their points to a friend or even redeem them online or in-store anywhere, Apple Pay or Google Pay is accepted. Turning now to our franchisee business delivery and demand for our brands. Our franchisees are benefiting from our strong business delivery, thanks to our enhancements in our distribution capabilities, we recorded four of our top five all-time highest booking days on choicehotels.com and other proprietary channels in the third quarter. In addition, we drove growth as compared to 2019 and 2020 through increased revenue contribution in the third quarter from choicehotels.com and other proprietary digital channels. Business delivery through these channels significantly improves our owners' profitability as they deliver strong rates at the lowest cost. As a result, these channels remain a key focus area for enhancing our value proposition. With such a powerful value proposition, it is no surprise why Choice maintains an industry-leading franchisee voluntary retention rate and our franchise owners continue to seek and develop our brands. Aided by our strong value proposition for our current and future owners and our record outperformance, we also continue to experience demand for new franchise contracts. In the third quarter, we awarded 89 new domestic franchise agreements, a 10% increase over the same period of 2020. Specifically, we're very pleased to see that demand for our new construction brands in the third quarter increased by over 50% year-over-year. And we are also excited to announce that our WoodSpring brand expanded internationally at the end of October, entering the Canadian market with a more than 15 unit commitment from a well-known developer and operator. In addition, a team within our development and franchise service departments that is fully dedicated to driving diverse ownership of Choice franchise hotels among underrepresented and minority owners has awarded 18 franchise contracts year-to-date through September, bringing the total agreements executed to over 280 since the program began over 15 years ago. I'm proud to say that more than half of the 18 agreements this year were awarded to women entrepreneurs. None of these accomplishments would have been possible without the resilience and hard work of our dedicated associates. I want to thank them again for their remarkable efforts and continued commitment to delivering for our franchise owners and guests, particularly during the challenging times in which we are living. We are committed to continuing to invest in and support our associates, and we are proud to be the hotel industry's only company to recently earn recognition as a Best Work-life Balance Employer by Comparably. In closing, I'm confident in our continued ability to create value and deliver results for our owners and shareholders through our effective strategic investments, impressive performance and award-winning culture centered around diversity, equity and belonging. With that, I will hand it over to our CFO. Dom?
Dom Dragisich: Thanks, Pat, and good morning, everyone. I hope you and your families are all well. Today, I'd like to provide some additional insights on our third quarter results, update you on our liquidity profile and capital allocation and share our thoughts on the outlook for what lies ahead. As we discussed in the previous quarter, we are comparing our financial performance and RevPAR results to 2019, which we believe offers a more meaningful basis for analyzing trends as the prior year's quarterly results were significantly impacted by the pandemic. For comparisons to 2020, please refer to today's earnings press release. For third quarter 2021 as compared to the same period of 2019, total revenues, excluding marketing and reservation system fees, were $166.5 million, an 8% increase. Adjusted EBITDA rose 18% and to $133.2 million, driven by improving RevPAR performance, revenue intense unit growth and strong effective royalty rate growth, coupled with continued cost discipline. Our adjusted EBITDA margin expanded to 80%, a rise of seven percentage points. And as a result, our adjusted earnings per share were $1.51 in for the third quarter, an increase of 10% versus 2019. Let's now turn to our three key revenue levers beginning with royalty rate. Our effective royalty rate remains a significant source of our revenue growth. The company's domestic effective royalty rate increased by eight basis points year-over-year to approximately 5% compared to the third quarter of 2020. This performance reflects the continued strengthening of the value proposition we provide to our franchise owners, their continued interest in being affiliated with our proven brands and the promising prospects in our pipeline. It also provides further validation of our long-term past, current and future investments on behalf of our franchisees. We expect to maintain the current growth trajectory of this lever for full year 2021 and grow at our historical rate in the future as owners continue to seek Choice Hotels' proven capabilities of delivering strong top line revenues that maximize return on investment while helping them reduce their total cost of ownership. Our domestic systemwide RevPAR outperformed the overall industry by 16 percentage points for the third quarter, increasing 11.4% over 2019. Specifically, our average daily rate grew by nearly 9%, and our occupancy levels increased by nearly two percentage points compared to the same quarter of 2019. Our third quarter results showed that we continue to outpace the primary chain scale segments in which we compete as reported by STR by six percentage points versus 2019. Importantly, our strong RevPAR trends have continued into the fourth quarter. As you know from our prior calls, we've long focused our brand strategy on driving growth across the higher value and more revenue intense, upscale, extended-stay and mid-scale segments. The investments we've made continue to pay off as these strategic segments have enabled us to materially outperform the industry in RevPAR growth and achieve gains versus our local competitors. Let me highlight just a few impressive performance achievements for our brands in the third quarter. Just a reminder, we're comparing the growth figures with the same period of 2019. Our WoodSpring brand achieved 23% RevPAR growth, reaching an average occupancy rate of nearly 86% and experiencing an 11% increase in average daily rate. Ascend Hotels saw their growth in average daily rate of over 17% and outperformed the upscale segment's RevPAR growth by over 20 percentage points. At the same time, the Comfort family grew RevPAR by over 8% on reflecting a 9% increase in average daily rate. Finally, both our Cambria and MainStay Suites brands captured 12 percentage points in RevPAR index gains versus their local competitors. Across the Choice system, we were able to increase our overall RevPAR index against local competitors by nearly four percentage points, thanks to our franchisees' ability to drive both rate and occupancy gains. More specifically, our average daily rate and occupancy improved from the prior quarter, and our average daily rate index and occupancy index continue to increase compared to 2019 as a result of our investments in revenue management tools for our franchisees and the merchandising capabilities and strategy we have put in place. Our third revenue lever is units and rooms growth, which benefits from the absolute size of our portfolio and the revenue intensity of the totals. To ensure the quality of our brand portfolio over the long term, we continue to terminate underperforming economy hotels at the bottom end of the portfolio as well as quality hotels that are unable to maintain the standards of a mid-scale brand. We believe that these actions will not only ensure an even stronger brand portfolio over the long term, but we also expect these targeted terminations to be an opportunity for royalty revenue growth as we plan to replace these hotels with higher quality and more revenue-intense units. Nevertheless, we continue to grow the overall size of our domestic franchise system. Across our more revenue intense brands in the upscale, extended-stay and mid-scale segments, we observed stronger unit growth, increasing the number of hotels by 2% and rooms by 2.6% year-over-year. Our developers are increasingly optimistic about the long-term fundamentals of the lodging industry. In fact, 1/3 of total domestic franchise agreements awarded in the third quarter were for new construction contracts representing an increase of more than 50% versus the same quarter of the prior year. At the same time, demand for our conversion brands year-to-date through September increased by 25% year-over-year. Let me share a few highlights on specific brands. The Ascend Hotel Collection leads the industry as the first launch and today, the largest soft brand expanding its domestic room count by 27% year-over-year. At the same time, Clarion Point has nearly doubled its portfolio year-over-year ending the third quarter with nearly 35 hotels open in the U.S. and 15 additional hotels awaiting conversion this year. Our MainStay Suites mid-scale extended-stay brand portfolio expanded to nearly 100 domestic hotels open, representing more than 30% unit growth year-over-year. And finally, our suburban extended stay portfolio of 70 domestic hotels open experienced 13% year-over-year unit growth. Now a few words about our liquidity profile and an update on capital allocation. As a result of our strong performance, the company has an even stronger liquidity position. More specifically, at the end of the third quarter of 2021, the company had over $1 billion in cash and available borrowing capacity through its revolving credit facility. We are also pleased to report cash flow from operations of $142.8 million for the third quarter 2021, a 53% increase versus the third quarter 2019. Today, our gross debt-to-EBITDA leverage levels remains at the low end of our target range of three to four times. At the end of third quarter 2021, our net debt-to-EBITDA leverage level was at 1.8 times. These impressive results combined with our strong liquidity and confidence in our ability to generate strong levels of cash, leave us well positioned to continue to grow our business and return excess cash flow to shareholders well into the future. Year-to-date through October, we have returned over $35 million back to our shareholders in the form of cash dividends and repurchases of our common stock. We will continue to monitor the environment for other investment opportunities and evaluate capital returns in the context of our leverage levels, market conditions and our overall capital allocation strategy. Finally, let's turn to our expectations for what lies ahead. We currently expect full year domestic RevPAR to surpass 2019 levels and grow at approximately 1% as compared to full year 2019. Assuming the broader RevPAR and economy recovery trends continue, we now expect to see our 2021 adjusted EBITDA exceed 2019 levels and range between $382 million and $387 million, even with planned incremental investments in the fourth quarter. Our view is reinforced by our third quarter results which extend our strong year-to-date financial performance, broader macro trends and our continued investments to support growth for the remainder of 2021 and beyond. We will continue to evaluate the impact of COVID-19 across the business, and we'll provide further updates in February during our next earnings call. In closing, we remain confident in our long-term strategic approach and resilient business model, coupled with our disciplined capital allocation strategy and strong balance sheet, we believe these strengths will allow us to further capitalize on growth opportunities and drive outsized returns for years to come. At this time, Pat and I would be happy to answer your questions. Operator?
Operator:  The first question comes from the line of Dany Asad with Bank of America. Please go ahead.
Dany Asad: Hey, good morning everybody. Maybe this question is for Pat, but it may be too early to talk about next year, but at least directionally or at a high level, can you maybe tell us how you're thinking about demand and rate dynamics and how that's going to play out into 2022?
Pat Pacious: Sure. So I think the interesting thing about rate and RevPAR in general has not only been the sort of outperformance that we've seen -- But we're really seeing a 1-2 punch here with both rate and occupancy gains above what the average chain scale is doing and what the overall industry is doing. So if you look at rate our revenue management tool and our revenue management consultants are really helping our franchisees drive higher rate, and we believe that's going to be a sustainable gain that we're going to see last for the longer term here. So pushing well into next year as your question sort of is trying to get at. And I think the same thing is true on the other side with occupancy, our ability to sort of drive the right merchandising and promotion strategy for the right customer at the right time of the year for the right day of week is really a new capability that we've invested in over the last several years, and it's really helped our hotels do well not only during the pandemic, but during the recovery. So if I look at Q4 and I look into Q1 and Q2 of next year, we do believe those are going to continue to provide us with outsized opportunities. When I look at really the upcoming holidays, I think we've continually outperformed every holiday going back to Memorial Day. So that expectation that we have on sort of outperformance on the holidays, we've really been surprised each time. What's really driving a lot of this is the rate aspect of this, which I mentioned. But if I look at college football, I look at fall foliage, I look at some of the areas where we expected demand, we have been surprised by how outsized that demand has been. And I would expect that to continue. Couple of other key drivers that we're seeing international inbound. They're opening up international flights here on Monday of next week, November 8. The Canadian border, which is a key factor for us for our hotels that sit in our northern states, but also for the snowbirds, we'll be coming down to Arizona and Florida. We missed out on that business last year, but I think the Canadian vaccination rate is up in the 80 percent range. So those are all key drivers for the winter months. And the other thing that if we get this infrastructure bill, and we get more onshoring of manufacturing, you see a lot of -- we were with a number of our key vendors about 1.5 weeks ago, a lot of them in order to get supply are thinking about onshoring and building manufacturing here in the United States. So those are all going to be key drivers for our business travel segments. So when I look at sort of the momentum that we're seeing and some of these key trends that are impacting the travel environment in general, they tend to favor our brands. They tend to favor our locations, and they tend to favor our guests.
Dany Asad: That's really helpful. Thank you. And maybe just one like clarification follow-up. The revenue management tool and the initiatives that you're rolling out, how long do you envision that to last into 2022 that tailwind?
Pat Pacious: Well, I think it's a permanent change for us. I think in the past, some of our hotels were leaving money on the table with regard to rate. This tool is providing them with an ability to change their pricing, and it runs dynamic pricing multiple times a day. And in an environment like we're in right now, you've got inflation going on, you've got a lot of surprise, hey, this state is lifting the restriction or this event is not going to happen. And the ability to forecast, there's a lot more volatility, I guess, in the forecast for our owners. And this tool is really helping them adjust to those market trends in real time. So this is a permanent capability for our hotels going forward. And I think it's going to be -- again, I think it's a key driver as to why our RevPAR index gains have been driven so much higher, and I would expect that to be sustainable for the long term.
Dom Dragisich: And Dany, one thing to note is that we have 5,000 hotels that are currently live today. So there's also a tailwind. We expect by the end of the year for all of our hotels to be live. So we would expect to see an uplift associated with the remaining rollout as well.
Dany Asad: Thank you.
Operator: The next question comes from the line of Robin Farley with UBS. Please go ahead.
Robin Farley: Oh, great. Thanks. I know you commented a little bit about distribution. I wonder if you could quantify any change in kind of OTA channel versus 2019? Thanks.
Pat Pacious: Yes. I think it's been a sort of -- it's really improved, I would say, from the standpoint of our business delivery has improved relative to what we call nonproprietary channels. So our proprietary delivery through our reservation system, our mobile app, and our global sales force continued to be strong. And I think what's really key when you look back at prior recoveries, where the third-party providers took share, that didn't happen at this time. And I think a lot of that is not only Choice Hotels, but the industry as a whole has gotten smarter about not putting distressed inventory out and trying to chase occupancy that wasn't there. So we haven't seen any change other than the continued trajectory of our proprietary channels getting stronger. That's business through our loyalty program and business through our website and our mobile apps.
Robin Farley: Interesting to some of the larger hotel companies who granted to have more of a SKU to business travel than Choice does, did see more OTA distribution because of the mix, right, because of shifting more to leisure from business travel. So even for Choice, even though you're already more focused on leisure travel, you didn't see some of the business travel mix reduction kind of leading to higher OTA?
Pat Pacious: So I think in a broader term, when you look at it over the long term, we have not. I think in Q3, where you do see normally that business traveler come back once the summer ends, it does normally shift. But when I look at our Q3 of 2021 versus what we would normally see in Q3 of 2019 the patterns didn't change. And I think that's a reflection of the fact that we are a strong leisure, so are the OTAs. And so we're used to sort of that competitive environment with regard to customer capture and then ultimately, business delivery.
Robin Farley: Okay. Thanks. And then just one quick clarification on the rate recommendation system. When did that start rolling out.
Pat Pacious: We really started rolling out at the beginning of the summer and essentially got to 5,000 hotels here on the platform in September. And again, it was a key sort of investment that we've made. This isn't something we dreamed up six months ago. This was an investment we began as the pandemic was actually beginning, we began the work on it and the work got completed. And as I said in my remarks, it really got rolled out at a critical juncture when vaccination rates in the U.S. started to decline, and we really started to see that sort of, as we mentioned, the five consecutive months of return to 2019 levels or exceeding 2019 levels. And so that the rollout really occurred here at just the right time for the strong summer demand period that we traditionally have.
Robin Farley: Thank you very much.
Operator: Next question comes from the line of Patrick Schulz with Baird. Please go ahead.
Patrick Schulz: Hey, good morning Pat and Dom. A couple of questions here. Obviously, you have a very enviable balance sheet. Can I just get your latest thoughts on your going-forward preferences for share repurchases versus dividends?
Pat Pacious: Yes. So overall, what I would say is our capital allocation strategy continues to remain the same. Obviously, we talk first and foremost about reinvesting in the business like we always have. We're going to continue to evaluate M&A opportunities. Our balance sheet is in the best place it could possibly be in, frankly. When you take a look at the net leverage of 1.8 times, I would say we're certainly under levered. So returning capital to shareholders is going to continue to be a priority. Obviously, we returned the dividend back to prepandemic levels. We were the first hotel company to do that. So we'll continue to pay that ordinary dividend. But make no mistake, I think share repurchases will continue to be a part of that capital allocation hierarchy in the future. With $1 billion of cash and available capacity on the balance sheet today, I think we're going to have the opportunity to pull every lever. Obviously, we wanted to see what that recovery trajectory looked like prior to going very aggressive on the share repurchases. So what you see is year-to-date, we're about $10 million in terms of share repurchases. So we will continue to evaluate in the context of, obviously, the overall investment opportunities, both organically as well as the M&A landscape.
Patrick Schulz: Okay. Thank you. And then shifting gears here. It looks like in the quarter, you had what I would call an adjusted net gain on the marketing and reservation line of about $10 million. How should we think about those marketing and reservation revenues and expenses and net gains or losses going forward? Thank you.
Dom Dragisich: The reality is when we present our adjusted numbers, the good news is that gain is not included in that adjusted EBITDA figure. So I think that's a really important thing to note. So we're not getting the benefit of the gain on the marketing. The reality is that marketing in the rest fund has to break even over the life of the fund itself. And so we essentially normalize for any gains or losses in that fund on a quarterly basis. What you typically see is Q1 and Q4, you typically see that fund running a deficit. It's just a lower demand months of the year, the six months out of the year. When you take a look at Q2 and Q3, in particular, we typically would run a surplus. So over the long term, obviously, you would see breakevens over the full year, you would get pretty close to breakeven, frankly. But in quarter, you can see certainly surpluses and deficits that we take out of that adjusted EBITDA figure. So when you look at that, it's an apples-to-apples comp.
Patrick Schulz: Thank you. I'm good thank you.
Operator:  Your next question comes from Michael Bellisario with Baird. Please go ahead.
Michael Bellisario: Thanks. Good morning everyone. Just first question, I want to go back to the revenue management technology that you've been talking about. Are there any numbers that you guys can provide? I mean I'm thinking specifically the maybe ADR delta for hotels using the technology versus hotels not using it because it sounds like not every hotel is on the platform yet? Just trying to quantify the technology-specific lift that you guys saw during the quarter? And maybe what that might mean for numbers going forward as you guys get fully rolled out?
Pat Pacious: Yes. I want to be clear on what's on the platform today and what's to come. We are working on for the future, our extended-stay brands for our revenue management capability. There really isn't anything out there today for those brands that looks like what we're using today for a transient brand. So that 10 percent of our portfolio is not on this platform yet. That is coming in a future phase. But I think if you look at the thing we look at is not necessarily the delta, I mean, obviously, that shows up in our average daily rate index gains that we've seen. What I'm most pleased by is the adoption of the recommendation by our franchisees. And that's in the sort of mid-90 percent of the recommendations that come across from the algorithm and from the recommendations, our franchisees are accepting that today. And that's what I mean by a step function change compared to the prior tool that we had. There's just a greater belief that this is market specific. It is up to date. It's in real time. And also -- the fact that our owners can do it from anywhere on their phone, they can monitor what's happening at their hotel, what's happening in their market because they're not always on site. Those are all key drivers, I think, as to why this has become more effective. And if I look at our trends even into October, in October, we saw a RevPAR gain of about 10.5 percent I think it was 10.6 percent compared to 2019 levels. So when you look at that final rollout, I think the last hotel of the 5,000 was probably went live in the early part of September. So we really are seeing that sort of continued outperformance in a month, that's traditionally softer than what we would normally see in our summer months. So that's -- those are some of the key items I would point to around the revenue management tool that are driving the outperformance.
Michael Bellisario: Got it. That's helpful. Thank you. And then just in a couple of other questions on the customer. I want to focus back but specifically on loyalty contribution. Is there any updated percentage figure that you can provide? And then maybe more broadly on the same topic, the new customers that you mentioned that are coming to your hotels, do you know where they were staying before? What's the profile of that new customer look like that you're capturing more of today?
Pat Pacious: So I think on the loyalty contribution, we're similar to where we were at pre-pandemic levels. sort of that 40 percent contribution levels of four every 10. We're excited by the sort of future growth opportunities in loyalty. Given some of the newer customers, as we mentioned. I think a lot of the newer customers that we're seeing are younger customers, which is really good for us given our sort of traditional customers more that sort of baby boomer demographic today, that makes up the bulk. We're seeing, as we would expect, a pickup in Gen X, we're seeing a pickup in millennials, and we're even starting to see incrementally some Gen Z customers in our hotels. So that's a real positive. As I keep talking about, our goal here is to build the brands for the guests of tomorrow. And so we're constantly looking. If you look at the refresh of the Comfort brand and the new prototype there, a lot of that was designed to appeal to that type of consumer. Our Cambria option for leisure markets and secondary markets again is going to go after a guest that skews a little younger and higher income. So we are pretty excited about sort of the trends we're seeing in the sort of post-pandemic recovery about the types of consumers that are showing up in our hotels that we had not seen before.
Dom Dragisich: Yes. The only thing I would add on that one, Michael, is the $4 out of every $10 loyalty, it's a portfolio average. Obviously, the further up the chain scale you go, the heavier loyalty contribution there is. So obviously, with our Comfort product, our Cambria product, you see a much higher percentage of loyalty contribution when you shift down to the economy segment, it's much lower. Obviously, a. It's a lower loyalty contribution. The other really impressive stat that we have is when you take a look back at 2019, we actually are seeing the percentage coming from CPLE, our most loyal customers actually increasing by almost 300 basis points versus 2019. So we're continuing to see that loyal customer return. So obviously, it's a really good trend that we're continuing to see. And then just in terms of where we're actually stealing share, when you take a look at every segment, we've actually seen RPI index gains or RevPAR index gains across every segment. And so the reality is you're continuing to see local share gains. So that's comparing like-for-like properties in like locations. So feeling very good about not only driving that new customer traffic, but also taking share from very similarly placed properties.
Michael Bellisario: Understood. Very helpful. Thanks. Operator This concludes our question-and-answer session. I would like to turn the conference back over to Pat Pacious for any closing remarks.
Pat Pacious: Thank you, operator, and thanks, everyone, for your time this morning. I hope you all stay safe and healthy, and we will talk to you all again in the New Year. Have a great rest of your day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.